Operator: Good morning ladies and gentlemen. Welcome to Chemed Corporation’s Fourth Quarter 2008 Conference Call. My name is Fab and I will be your conference call facilitator today. Please note that today's call is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers remark there will be a question-and-answer period. I would now like to turn the call over to Sherri Warner with Chemed Investor Relations.
Sherri Warner: Good morning. Our conference call this morning we will review the financial results for the fourth quarter of 2008 ended December 31, 2008. Before we begin, let me remind you that the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 apply to this conference call. During the course of this call, the company will make various remarks concerning management's expectations, predictions, plans and prospects that constitute forward-looking statements. Actual results may differ materially from those projected by these forward-looking statements as a result of a variety of factors, including those identified in the company's news release of February 16, and in various other filings with the SEC. You are cautioned that any forward-looking statements reflect management's current view only and that the company undertakes no obligation to revise or update such statements in the future. In addition, management may also discuss non-GAAP operating performance results during today’s call, including earnings before interest, taxes, depreciation and amortization, or EBITDA and adjusted EBITDA. A reconciliation of these non-GAAP results is provided in the Company's press release dated February 16 which is available on the Company's website at www.chemed.com. I would now like to introduce our speakers for today, Kevin McNamara, President and Chief Executive Officer of Chemed Corporation; David Williams, Executive Vice President and Chief Financial Officer of Chemed; and Tim O’Toole, Chief Executive Officer of Chemed VITAS Healthcare Corporation Subsidiary. I will now turn the call over to Kevin McNamara.
Kevin McNamara: Thank you, Sherri. Good morning everyone. Welcome to Chemed Corporation's fourth quarter 2008 conference call. I will begin with an overview of the quarter. I will then turn over the call to David Williams, Chemed's Chief Financial Officer. This will be followed by Tim O’Toole, Chief Executive of our VITAS Subsidiary, for a discussion on some of our hospice metrics. I will then open the call up for questions. Chemed consolidated revenue in the quarter totaled $292 million, and net income from continuing operations was $20.1 million. This equated to diluted earnings per share of $0.89. If you adjust for non-cash items, or items that are not indicative of ongoing operations, earnings per share were $0.99 in the quarter. As most of you are aware, last week Congress approved The American Recovery and Reinvestment Act of 2009. The President has stated that he intends to sign this stimulus package in to law sometime today. This Act provides for an increase in the Medicare hospice wage index for the period October 1, 2008, through September 30, 2009. Given the timing of the passage of this Act, VITAS has not included any adjustment to the fourth quarter 2008 operating results for this change to our Medicare hospice reimbursement rates. David Williams will provide you the impact which will have on our hospice operations in 2009 later in this teleconference. In the fourth quarter of 2008, our VITAS business segment had revenue up $206 million an increase of 4.4%, and generated EBITDA of $34.3 million an increase in our adjusted EBITDA up 21%. This equated to adjusted EBITDA margin of 16.7%. I am very pleased with the progress we have made over the last year in managing our excess labor capacity as well as our general and administrative expenses. This progress is clearly reflected in our improved EBITDA margin. Our improvement in margins is primarily the result of refines in our approach to matching our labor needs to daily patient sensors. We accomplished this through reinforcement of existing labor management tools. This will include daily scheduling meetings, rebalancing the mix of nurses and home healthcare aides in our hospice teams, and through more cost-effective utilization of agency staff. I continue to be very disappointed with our admissions growth. In the fourth quarter of 2008, our admissions totaled 13,314, a decline of 2.1% over the prior year quarter. For a full year 2008, we admitted a total of 55,799 patients which is an increase of 1.8% over our 2007 admissions. Over the past three quarters, we have noticed increasing disruption in our typical admissions pattern in certain geographic markets as well as some specific referral sources. I believe a significant portion of this disruption is result of economic dislocation making access to hospice appropriate patients more difficult in some markets. We continue to adjust our local marketing efforts to respond to these changing referral patterns. Tim O'Toole, will provide an additional color on how we are shifting our resources in these markets the better access referral sources and their patients. VITAS have now record any Medicare Cap liability for the 2008 measurement period ended September 28, 2008. VITAS has recorded $235,000 of Medicare Cap liability related to our fourth quarter which is the first three months of the 2009 Medicare Cap measurement period. This Medicare Cap liability relates to one provider number that has a gross margin in excess of 20%. Admissions in this provider number have declined in the first three months of the 2009 Medicare Cap year. This program generated a 15% cap cushion over the prior 12 month period. January 2009, admissions did show us a strong upward trend in this provider number and I believe it is likely. We will eliminate this Cap liability to increase admissions during the course of the 2009 year. Of VITAS’ 34 unique Medicare provider numbers, 29 numbers, or 85%, have a Medicare Cap cushion greater than 20% for the recent 12 month period, four provider numbers have 15% to 20% cushion, and one provider number has a cap cushion of less than 10%. VITAS generated aggregate cap cushion of $220 million during the calendar year, 2008. Our Roto-Rooter business segment continues to be marginally impacted by the slowdown in the economy. This is evidenced by a 20.1% decline in fourth quarter in call volume into Roto-Rooter's centralized call centers, when compared to prior-year quarter. We have been able to substantially offset the revenue impact of this decline in call volume through a combination of selective price increases, favorable job mix shift to higher revenue per job, increased excavation work and increased conversion rates of calls to paid jobs. We are in preliminary discussions or performing due diligence with several Roto-Rooter franchisees territories. This activity is attributed to the current state of the capital markets, the long-term potential for increase tax rates and the recessionary difficulties that our franchisees are experiencing. The timing or actual completion of these acquisitions cannot be predicted; however, we intend to be highly disciplined in terms of valuation and risk assessment to ensure these acquisitions will be immediately accretive to our earnings. I believe the Roto-Rooter business model continues to be recession-resistant. This is a result of Roto-Rooter’s focus on emergency plumbing and drain-cleaning jobs that customers find difficult to defer. In addition, our variable cost structure minimizes the negative financial impact when demand is soft. This is primarily achieved through the utilization of a commissioned pay structure for our plumbing and drain-cleaning technicians. Both of Chemed’s business segments are well-positioned to weather the current challenges in our economy. Given our strong balance sheet and capital structure, a difficult economy may provide us with future opportunities relative to our competition. Before I turn the call over to David as you know we received a letter from a shareholder late last week, requesting that we separate the VITAS and Roto-Rooter business segments. Chemed will carefully evaluate this shareholder’s recommendation and respond appropriately. Today we will not be taking questions on this shareholder letter. With that, I would like to turn this teleconference over to David Williams, our Chief Financial Officer.
David Williams: Thanks, Kevin. Net revenue for VITAS was $206 million in the fourth quarter of 2008 which is an increase of 4.4% over our prior year period. This revenue growth was a result of increased ADC of 1.4% and a Medicare price increase of approximately 2.6%. The remaining difference is attributed to the shifts in our level of care as well as geographic differences where patients are receiving care. Average revenue per patient per day in the quarter was $189.37 which is 3.0% above the prior year period. Our routine homecare reimbursement and high acuity care averaged $149.26 and $665.38, respectively per patient per day in the fourth quarter of 2008. During the quarter high acuity days of care was 7.8% of total days of care. Quarterly high acuity days of care have averaged between 8% and 8.4% in 2007. VITAS’ gross margin in the fourth quarter of 2008 was 25.1%. This is 192 basis points above the gross margin in the prior year quarter and 150 basis points increase sequentially from the third quarter of 2008. Our homecare direct gross margin was 53.3% in the quarter. This compared to a 51.6% in the fourth quarter of 2007, an increase of a 170 basis points, an increased 90 basis points when compared to the third quarter of 2008. Our direct inpatient margins in the quarter were 14.9%, which compares to 18.8% in the prior year. Occupancy of our inpatient units averaged 75.8% in the quarter and compares to a 76.6% occupancy in the fourth quarter of 2007. Continuous care, the least predictable of all levels of care, had a direct gross margin of 20.1% in the quarter, which compares favorably to 17.6% in the prior year quarter. VITAS’ selling, general and administrative expense was $17.2 million in the fourth quarter of 2008, which is a decline of 0.3% when compared to the prior. Now, let's turn to our Roto-Rooter segment. In the fourth quarter 2008, recessionary pressure continue to impact demand for certain discretionary plumbing and drain cleaning services. This is evidenced by a 20.1% decline in call volume in Roto-Rooter’s centralized call centers. This decline has been substantially offset by increase pricing favorable job mix shift to excavation work and increase conversion rate from calls to pay jobs. Roto-Rooter's plumbing and drain cleaning business generated sales of $86 million for the fourth quarter of 2008, 2.5% lower than the $89 million reported in the comparable prior year quarter. Job count in the fourth quarter of 2008 declined 12.5% when compared to the prior year period. Our total residential jobs decline 12.2% and consist of residential plumbing job decreasing 11% and residential drain cleaning job declining 12.8% when compared to the fourth quarter of 2007. Residential job continue to represent approximately 70% of Roto-Rooter's total job count. Total commercial jobs declined 13.3% with commercial plumbing job count declining 13.2% and commercial drain cleaning decreasing 13.7% when compared to the prior year quarter. There continues to be substantial disparity and demand for Roto-Rooter services within the United States. The south region has experienced a 17.3% year-to-date decline in commercial jobs while our Northeast Region had a modest 2.7% decline in commercial volume. Residential demand is not as disparate with the South Region residential job count declining 13.5% while the remaining regions for Roto-Rooter have experienced a job count decline ranging from 6% to 11%. It's important to remember that Roto-Rooter provide its customers, our necessary service that in some cases has deferrable but eventually unavoidable. We view Roto-Rooter's consumers as making a grudge purchase decision basically they are buying a raw necessity. What is impacting Roto-Rooter is that become more difficult to up sale additional services to our customers. Up selling when includes such non-critical services as fossil repairs, where the drain cleaning or partially block or secondary lines or selling drain care products. Our Roto-Rooter's core business of emergency plumbing and drain-cleaning services remain strong. Now, let's take a quick review of our consolidated balance sheet. Chemed debt aggregated $210 million at December 31, 2008, $187 million of which carries a fixed interest rate of 1.875% and is due on May 2014. Our remaining debt consists of a $14.5 million bank term loan and $8.2 million of debt drawn against Chemed's $175 million revolving credit facility. The current interest rate on this debt is approximately 1.4%. Chemed's $175 million revolving credit facility expires in May 2012. At December 31, 2008 this credit facility had approximately $140 million of undrawn borrowing capacity after deducting for $8.2 million of borrowing and $27 million of letters of credit issued under this facility to secure the Company's workers compensation insurance. Chemed's total debt divided by the trailing fourth quarter of adjusted EBITDA reflects a debt leverage ratio of 1.3 times. Effective January 1, 2009 Chemed will be required to retrospectively adopt the provision of FASB Staff Position for Accounting for Convertible Debt Instruments that may be settled in cash upon conversion. To somewhat esoteric ruling requires the company to separately account for the debt and equity portions of its 1.875% senior convertible notes. This accounting creates a discount on the notes that will be recorded in equity at the inception of the debt. The Notes, net of this discount, will be accreted to their face value over the life of the Notes using the effective interest method. The impact of this accounting change for the year ended December 31, 2009, is projected to be a non-cash increase in our pre-tax interest expense of approximately $6.0 million and $3.8 million after-tax. Our year-to-date net cash provided from operations aggregated $112 million. Our capital expenditures for 2008 aggregated $26 million and compares favorably to our total 2007 capital expenditures of $27 million. Chemed’s full-year 2008 depreciation and amortization aggregated $28 million. Now let’s turn to our 2009 full-year guidance. As Kevin mentioned earlier, Congress has recently approved The American Recovery and Reinvestment Act of 2009. This Act provides for an increase in the Medicare hospice wage index for the period October 1, 2008, through September 30, 2009. Our 2009 guidance includes approximately $8 million in additional revenue related to this adjustment in the Medicare hospice reimbursement rate. VITAS is estimated to generate full-year 2009 revenue growth, prior to Medicare Cap, of between 6.0% to 7.5%. Our admissions are estimated to increase 2% to 4% and our full-year adjusted EBITDA margin, prior to Medicare Cap, is estimated to be 15.3% to 16.3%. This guidance assumes VITAS will receive a Medicare basket price increase of 1.5% effective October 1, 2009. Full calendar year 2009 Medicare contractual billing limitations are estimated at $5.0 million. Roto-Rooter is estimated to generate full-year 2008 revenue growth of between 4.0% and 5.0%. This revenue growth is result of increased pricing of 4.0% to 5.0% and a favorable mix shift to higher revenue jobs, partially offset by a job count decline estimated at 7.0% to 9.0%. Adjusted EBITDA margin for 2009 is estimated in the range of 17.0% to 18.0%. This guidance does not include any Roto-Rooter franchise acquisitions that may be completed in 2009. Chemed’s consolidated effective tax rate has been impacted by the severe volatility in the stock market as it relates to certain deferred compensation investments and required GAAP tax accounting. This stock market volatility does not have any material impact on Chemed’s reported pretax earnings. Excluding the impact of taxes associated with this deferred compensation issue, Chemed’s effective tax rate for full-year 2009, is estimated at 39.0%. Based upon these factors and a full-year average diluted share count of 22.8 million shares, Chemed's management estimates 2009 earnings per diluted share from continuing operations, excluding non-cash expenses for stock options, the non-cash increase in interest expense related to the accounting change for convertible debt and the tax rate impact from deferred compensation investments will be in the range of $3.70 to $3.95 per share. I will now turn this call over to Tim O’Toole, our Chief Executive Officer of our VITAS Subsidiary.
Tim O'Toole: Thank you, David. In the fourth quarter of 2008, we continue to refine our efforts on the daily scheduling of field labor with the goal of insuring appropriate levels of staffing, notwithstanding length of stay and census fluctuations. This involved not only the efficient utilization of existing field-based labor management tools, but the implementation of several new tools. We continue to refine our approach to staffing levels and eliminate inefficiencies while still responding to patient care needs and achieving quality outcomes. Over the long-term, VITAS continues to focus on its investment in labor management and scheduling tools with the goal of advancing patient care and using its resources in a more leveraged way. While this will not eliminate the inherent volatility of our labor costs as a function of admission trends and patient care acuity, we should have more consistency in scheduling direct labor with the daily flexibility needed to meet patient care needs. Admissions continue to be difficult during the quarter; declining 2.1%. We believe this reflects one of the many aspects of disruptive economy. Offsetting the admissions rate was favorable discharge trend, which declined slightly in the quarter. Admissions from hospital referrals declined in 2.1% in the fourth quarter of 2008 and admissions from nursing homes declined 11.8%. On the positive side, admissions and assisted-living facilities increased 6.9% and our home based admissions increased 3.1%. Certain geographic markets are experiencing more disruption than other markets. Florida, our most dominant market, which represents 38% of our census, continues to show steady expansion in terms of admissions Average Daily Census and revenue. Our Illinois and Texas markets are particularly difficult and have experienced to decline in admissions census and revenue in the last quarter. I attribute this decline to a combination of economic disruption in terms of traditional referral balance and missteps on our part to adjust our local marketing and education approach in these markets. We are pursuing new approaches to sales and marketing strategies that address these issues. I am very focused on returning these programs to our historical admissions levels. This involves refining our local marketing approach and realigning resources in each market to effectively manage these changes and create better patient access. VITAS' average length to stay in the quarter was 83.1 days which compares to 75.7 days in the prior year quarter and 74.1 in the third quarter of 2008. Our median length of stay was 14 days. Our days of care totaled over 1.1 million days in the quarter. Routine home care days increased 1.7%., continuous care days increased 4.1% and inpatient days of care declined 7.4%. At December 31, 2008 we had three programs classified as startups, all of which are licensed and Medicare certified. These start-up programs had an ADC of 42 patients with revenues of $554,000 and pre-tax operating losses of $362,000. These same programs had an ADC of 80 revenue and operating losses totaling $302,000 in the prior year quarter. With that I would like to turn the call back to Kevin.
Kevin McNamara: Thank you, Tim. I will now open this teleconference to questions.
Operator: Thank you. (Operator Instructions). And your first question will come from the line of from Bryan Sekino from Barclays Capital. Please proceed.
Bryan Sekino – Barclays Capital: Good morning.
Sherri Warner: Good morning.
Bryan Sekino – Barclays Capital: Just wanted to follow up with you regarding some of the cost controls that you had. I know in the past you, I think in last quarter you said that you thought that you had tried to keep cost increases below that 2.5%, which is inline at time with the Medicare increases. Is that still the goal for 2009?
Kevin McNamara: I think our goal is consistently then and we, in almost all periods have been able to achieve it. We try and keep our central support cost and growing at half the rate of our sales increases our VITAS subsidiary. We have been able to achieve that generally, but you maybe referring to cost of sales but what we generally talk about is as far as the cost segment goes is really our central support cost at VITAS and going to 50% bigger.
Kevin McNamara: Okay, I mean your comment I think is probably leveraging of the last couple of quarters where we talked about our year-over-year increases in our payroll for field staff was beginning to increase at a little higher rates. And we are happy that we are able to bring that down in line with something in the 2.5% range. So, we are accomplishing that now and I feel very comfortable and we will be able to maintain that in the future. We have very good controls over it, and again it’s not only the issue of the pay increases for people that are with you, with annual reviews but also the pay that you bring new employees in that you hire comparative ones that left the company. Our turnover has gone down in all the critical areas so that help a little bit. But to answer your question specifically we are comfortable with that range of 2.5%. 1.25
Bryan Sekino – Barclays Capital: Okay, got it, thank you. And then, just moving on to Roto-Rooter, I know your margins came down a bit in the back-half of 2008. And your guidance for margin to be 17%, 18% I think they were close to the 16% in Q3 and Q4. Is there anything that’s changing with regards to the business going forward that you will be able to reduce the margin there?
Kevin McNamara: Well, I will tell you, give one back to the answer over to Dave. But one factor in 2008 which we don’t expect to recur is something that we have mentioned that our share of the cost with regard to employee healthcare, large employee healthcare claims before the staff loss was up over $1 million in 2008 compared to 2007. Just to put this in perspective, the bottom line of the 8% of claims which are pretty predictive were very much right in line with our expectation, which is that the number of severity of our large claims was beyond our expectation and we fully expect that to retreat to the mean in 2009. That’s one factor which helps more than $1 million, but Dave anything else you want to add to that.
David Williams: No, you just put in perspective. We averaged with that higher, increase in large claims for healthcare for Roto-Rooter. Our EBITDA margin was 17.6% and what Kevin talking about the final number are probably too not to be about a 14 basis points yet. So, absence in 2008 in unusual amount of large claims we would have been right at 18%. We are forecasting our guidance 17% to 18%. We certainly see straps, definitely in the first of half of the year as we are lapping the prior year in terms of job count. However, we did pass through price increases, barely throughout the United States, but it averaged about 5%. We are seeing stress in our job count but we are also beginning to see more stability. For example, we had a 2.2% increase sequentially from Q3 to Q4 for Roto-Rooter. We view that as very positive. And so, all of that kind of we put it together, we see stress on the Roto-Rooter business model but more stability. We don’t expect a negative trend lines we saw in call volume and job count to continue. We see stability in our cost structure, primarily in healthcare and we do see a little bit of uplift from the small amount of acquisitions we completed late in 2008. So, all of that said as we have a fair degree of confidence that we think Roto-Rooter is been up slightly above or slightly below in terms of EBITDA where we were in 2008.
Bryan Sekino – Barclays Capital:  Okay, thanks, thanks for taking the call.
Operator: Your next question will come from the line of Frank Morgan from RBC Capital Markets.
Frank Morgan – RBC Capital Markets: Good morning. First is just a housekeeping question. With regard to this the catch up from the fourth quarter from the retroactive full market basket increase, will you report the full catch up of the fourth calendar quarter, will that all occur in this first quarter of 2009?
David Williams:  That's correct. We will basically pick up roughly $4 million.
Frank Morgan – RBC Capital Markets: Okay, so $4 million of catch up or incremental on top of what you would get in the quarter itself?
David Williams:  No, we will get $2 million from the, if this was in place and happening as of October 1, our revenue would have been $2 million higher in the fourth quarter of 2008. So, we will pick that up in the first quarter of 2009. In addition, we will be having the higher reimbursement rate for the first quarter of 2009. So, basically we are picking up an extra $2 million, so a total of $4 million will be the benefit from this stimulus package.
Kevin McNamara :  And for revenue and pretax profit.
David Williams :  That's exactly right, revenue and EBITDA.
Frank Morgan – RBC Capital Markets: Okay, guys. Thanks. And then secondly, I was hoping you could elaborate a little bit more on this the notion of the economic disruption, I think you specifically mentioned places like Illinois and Texas and how that's translating into weaker volume trends there?
Kevin McNamara :  I am going to turn this over to Tim. But let me tell you something that I have seen and some of it is borne out on a preliminary basis some of the numbers we have been seeing, but also some anecdotal information. And it's really tied to this that there are a variety of traditional sources of referral that VITAS has done a very good job of capturing. And if you look at our very low median length of stay and you would we do a great job capturing referrals from hospitals, discharge planners, from oncologists, from those types of sources along with the traditional sources like nursing homes, assisted living care. These are referral sources that do a very good job educating the hospice eligible patients of the nature and benefits of the hospice service. And generally this is in the face of some pretty strong misconception with regard to what hospices. Most of the surveys we take of the uninitiated, they think that hospice is some place that you go, and, of course, most of the callers on this call know it's 95% of our patient days are in patients' homes or residences or nursing homes or assisted living care facilities. To the extent that fewer people, to the extent that the occupancy or the people exposed to those strong referral sources are having trouble or having low occupancy. That translates into problems for us which we are you know we were in the period of transition. We recognized that and we are spending more money on sales people and local marketing efforts. But it hasn’t borne the fruit yet that we are looking for it, but no question about it, no gilding of the lily, it's something we have to address and I have confidence that Tim and his people will. But Tim, anything to add?
Tim O'Toole: Well, I think that’s exactly right. And I mean as Kevin mentioned, a lot of our historical referrals come from relationships we have at hospitals and nursing facilities and the assisted-living facilities. And statistics are indicating that hospital census is down and exactly why that is, everybody has various opinions, it has something to do with people ability to pay their co-pays deductibles, their insurance and the economy is just out there. Nursing facilities, we have seen situations where individuals have been removed and gone back to home because they no longer can pay the bill, because the family needs the money for other things, the Social Security check or something like that. Assisted-living facility providers, basically if you think about it what most individuals when they decide to go into assisted living facility they are selling personal home, their residence and because of the housing crisis and the pricing for the homes many people decided to defer that decision so the census are down in the assisted living facilities. So these are things that we have been seeing over the last six months I think when you first begin to hear some of this you are a little skeptical. But it’s been clearly documented to us and we are seeing that now in third-party reference material. I think that will abate, I think these things come and they find their bottom and they recover so we don’t want to not continue to serve us all other historically relationships in fact we are going to work even harder to be the hospice of choice for these categories and we will, but what we need to do also is going directly to the public with consumer advertising. We need to visit places like clinics with our liaisons and representatives that people are going to instead of the hospitals and we need to do things like for example make sure people in the emergency rooms of hospitals understand that when someone comes in let us refer to their chronic and chronic situations are piling up so bad they go to the emergency room, that we are there to help them with those cases as well, so with a big push on all alternative sources. So, I am very confident and that it's a local issue, so we are looking for a local management at each location to come up with the ideas that will work, we will try them. And then when we find one that works, we will spread it throughout the company as a best practice. So, we are looking for new ways to reach patients that need our service. And I think we will be successful at it as the year progresses. So, I think we see the situation, we are going to change some of our sales tactics and I am optimistic those will improve our results.
Frank Morgan – RBC Capital Markets: Okay. Let me ask one more and then I will hop in the queue. You mentioned that the admission trends at the one facility they had cap exposure had improved nicely in the month of January. Can you give us any kind of color commentary about other programs like how admit trends are going so far in the first quarter? And then I will hop off, thanks.
Kevin McNamara: I will turn that over to Dave. But again, we don’t like to speak about too much about individual programs except to the extent they have a Cap issue we do. Let me start by saying yes. The trends in that program, I mean it's a good program, it's not a situation where we have blown through cap, it's a very profitable – you would expect if you are close to cap it was going to be very profitable. It's one where we had a, what we think was a short-term deviation in referral trend, as we say, at a nice cap cushion for the 2008 cap year a bad quarter that we're one month and the new quarter with a good trend. I will say with admissions generally speaking we haven't solved the problem. I mean it's one of that, it's going to be given the nature of some of the problems that I just mentioned earlier that Tim just spent the time talking about, it involved some midcourse correction. We as indicated overall we have a cap cushion of $220 million. But admissions are the lifeblood of any hospice program and we want to get them growing at a better rate. So I think the best way I can characterize an answer to your question without giving too much of a look forward things the public companies try and avoid doing here is that, it's a situation that still needs improvement, but the good news is that where you have program that really needs a lot of attention we are still able to move the needle on that, in that regard at least we have been able to do that couple of times in the last couple of years when we have been forced to. Anything else, Tim, on that.
Tim O'Toole:  The only thing I would add on relative to this one program is the fact of the matter is we can't carry forward any cap cushion to the next year. Each cap year sits in its own bottom and when you are dealing with the very short of period of time in this case just really 90 days of activity, any blip could result in what I would call a temporary cap liability. We think it's actually a very reasonable or probable chance and this 2009 cap year with no liability, but without a doubt which soften admissions growing between 2% and 4% in '09 we are concerned we will keep an eye on it. But I also point out that the second half of the year admissions will be much easier to lap certainly the first quarter of 2008 was our best admissions here. So the first quarter is going to a difficult on a comparative basis, but the fact is we know where the problems are, it’s not in all locations, its in certain locations. It's combination of economic disruption. The nursing home is not getting the patients, the discharge planner from hospitals aren’t having the same activity. So we need to ferret out where those patients are and make sure they have access to hospices. But relative to cap we think we are in very good position.
Operator: Your next question will come from the line of Jim Barrett from C.L. King & Associates.
Jim Barrett – C.L. King & Associates: Good morning, everyone. Dave, I think this is a question for you. Hello?
David Williams: Yes.
Jim Barrett – C.L. King & Associates: Are you still there?
Kevin McNamara: Well, he is waiting for it.
Jim Barrett – C.L. King & Associates: He is waiting. Could you talk about your allocation of capital in terms of how do you prioritize it between buying back the convertible debt, making acquisition, buying back stock, reinvesting in our core business?
David Williams: Good question, because clearly, our cash flow is strong. Basically, our earnings per share works out to be our cash flow. In the past, we have been opportunistic and buying back our shares, our stock. We are not as inclined to do that, even though there is a significant amount of remaining authorization from the board for continued share repurchases or not inclined. We did take advantage of purchasing our debt last year before our window closed in terms of we had clarity on what the quarter is. We purchased roughly $13 million, $14 million of stock or worth of debt, that effectively had a yield to maturity of almost 11%, so opportunistic in that regard. We will continue to take a look at our debt and if it's favorable repurchases it. But in this market with this bizarre capital situation we are actually inclined to build cash in our balance sheet and use it for opportunistic investments on the Roto-Rooter side and the hospice side. So not as concerned on share repurchasing as we are of maximizing our debt structure, and taking advantage of good valuation on acquisitions.
Kevin McNamara: Although we have over the last 12 months repurchased a lot of stock under a slightly different situation.
Jim Barrett – C.L. King & Associates: I understand that, yes. Then secondly, Kevin can you talk about Roto-Rooter for a moment. You are seeing, you have guidance that the business will grow about 4% to 5%. Is there revenue growth year-to-date that would support that guidance or is it more expectation I think it would improve later on?
David Williams: Well, this is Dave, Jim. What I would say on that is clearly if we test to the price increase and we have about on revenue side, we are going to have roughly $7.5 million, we are lapping it. So, call it $6 million of increased revenue just on the acquisitions we completed last year on an incremental basis in 2009, so a combination of our price increase, so small acquisitions we did last year offset by a negative job count decline but probably not as severe as we saw in 2008 kind of leads to our modest revenue growth. So the fact is absence of our price increase in the acquisition, we would be slowly down in revenue, but we have managed our way to a slight positive on our forecast.
Kevin McNamara: Of course, the bottom line is do we think the Roto-Rooter guidance is particularly aggressive, no. We think it’s in the middle of the range in that regard.
David Williams: But to keep Roto-Rooter perspective, in 2007 we had a record year of $69 million of EBITDA for Roto-Rooter and we had about $7 million to $8 million of CapEx. Let just stay on the EBITDA. Our second best year ever in EBITDA by a pretty wide margin was 2008 just right, it's barely under $60 million with the same amount of CapEx spending. I think that the debate in 2009 is will it be our second best year ever for Roto-Rooter, or a third best year ever for Roto-Rooter.
Kevin McNamara: Again, it's slightly up or slightly down.
Jim Barrett – C.L. King & Associates: Alright. And then Kevin can you give us the view on your level of confidence that the hospice industry will be able to permanently claw back the CMS pricing action beyond October 1 of 09 and what sort of time line should investors be focused on in terms of the industry in VITAS ability or progress in making that happen?
Kevin McNamara: I will say the first thing is the more you know the more you know you don’t know. We are very active in our lobbying efforts along with the industry association. It did not surprise us that we were included in the stimulus bill if only because of the precarious nature of so many of our competitors. Last year, before there was the reduction in the increase because of the budget neutrality factor, the government was reporting the hospital based hospices were already at a minus 3 percentage point EBITDA margin for their hospices. The industry as a whole was under 5%. I mean there was a lot of consternation and pressure on representatives on both sides of the aisle to protect the hospice industry. Again not protect high levels of margin, to protect the viability of it and especially in rural areas. So I guess the answer to your question is, we saw it as a two-step process as far as abrogation of the budget, taking out the budget neutrality factor. And we are through step one, I mean the issue if you ask us, our personal view is that these struggling hospice programs are now in the process of redoubling their efforts to prevent the second claw back from occurring. So we will see how it goes I will say this that the one of the biggest supporters of the hospice industry is Arlen Specter, who has seen to be pretty important to Democrats in achieving their filibuster proof margins on what they want to get enacted. So with even in the past.
David Williams: The only side thing Jim, because it's a pretty good question is, if you remember the house was looking support getting rid of this budget neutrality factor for a year; the Senate didn't have anything in their initial bill and then they came together in conference. And as part of the Bill there is note on the conference. And what they said is of course they receded to the house provision, but as part of this conference they don't anticipate extending this delay in the budget neutrality factor. They don’t expect to extend the provision, but what they did specifically state is they expect the hospices community to seek a permanent fix in the annual rule making cycle. So what they really says they expect us to work CMS to keep this problem from happening again. And as part of this bill being pass in the congressional record on February 12, Arlen Specter, including 25 other Senators, both Republicans and Democrats, basically strongly encouraged the President through helping Human Services to stop any phase out of the budget neutrality factor and leave it to MedPAC study to really examine the costs and the way hospice is taken care of and then addresses the conclusion of the study. So bottom line as they expect us to work CMS to try to delay this budget neutrality factor into a MedPAC has completed its study.
Jim Barrett – C.L. King & Associates: Okay. Well, thank you both very much.
Operator: Your next question will come from the line of Darren Lehrich from Deutsche Bank.
Piter Chickering – Deutsche Bank: Good morning, guys. It's actually Peter Chickering for Darren. A couple sort of quick questions here on the tail-end to this, looking at the VITAS admissions growth, guidance for '09 of 2% to 4%, I guess versus what happened in '08 and the tough comps in the first half of '09. Can you give us little more detail us exactly what and how that's going to reaccelerate? You talked a little bit about you are looking at some key markets and focusing on direct-to-consumer. But have you seen any sort of success of those so far, or just gets some more detail on that?
Tim O'Toole: Well, this is Tim. No, I don’t think we can provide a lot more detail. I mean, in many cases it comes down to each location having a good strong management group there, a good strong selling effort with a good local plan. We have corporate individuals that oversight that, spur them along, monitor it and make sure its happening. So, as far as successes, we have had successes; we are hiring different types of sales representatives. As I mentioned before that going to clinic as opposed to historical places we go. We have had success with local advertising programs both in the radios as well as the newspapers. Television advertising doesn’t seem to pay off for which you have to spend and it really we did just create a brand we think. But we also are targeting the specific segments of the communities we serve. The Hispanic market is big in South Florida, and we have recently put forward an aggressive campaign for advertising to make sure that that segment of the community accesses or is aware hospices, historically it has been underserved. So, a lot of these things are new but they are also just programs we have worked on before, we know their work, it's just a matter of where you want to have your spending. If you will recall, we accelerated our spending on sales efforts quite a bit early in '08, those expenses now are not accelerating any further. So, it’s a good portion of our expense structure and it's just a matter of utilizing that correctly in both of the direction of it and the individuals involved. So, in many cases in various local programs, it does come down to individuals who are not performing as well as they need to and we will recruit new individuals to get us where we need to be in those cases. So we are being aggressive, we are changing things but our historical approach is basically we will get the job done for us with some modest changes. We have very, very comfortable with that.
Peter Chickering – Deutsche Bank: So, then I guess, looking at the hospice industry in general, historically whenever you, I mean VITAS so far has done a very good job with Cap because of your focus on high acuity patients as you guys focus more to I guess the radio, newspapers and in terms of clinics versus hospitals is there any concern that all sudden you could get some of the longer length of stay patients and sort of face caps or within the patients base you guys are admitting and how are ---
Kevin McNamara: I would say when our average length of stay gets about 100 days in a good number of units then you would have that type of issue would rear its ugly head.
Tim O'Toole: And I am not concerned about that we are also being very aggressive in inpatient facilities, we have several new ones coming on Board in the next couple of quarters that will help and a lot of these places that we do get the referrals that we have not historically that does not mean they are long length of stay of patients, they may clearly only be with us for several week. So if that trend were to begin to rear itself it would be a long time before that would provide a cap problem and we do have balanced admissions from these.
Kevin McNamara : One thing you can follow on that is our median length of stay is still almost 10 days shorter than the national average. So I mean until you saw some substantial change in that number that’s another thing to look at.
Peter Chickering – Deutsche Bank: Okay
Kevin McNamara : We are a long way from that.
Peter Chickering – Deutsche Bank: And then I guess your last question here is going to the Roto-Rooter side if we look at '08 year, you had a pretty favorable mix shift with your excavations throughout the year. And looking into also '09 as those become again anniversary, do you see that component business beginning to slowdown year-over-year or is it still going to provide a pretty good a tail-end for a mix shift?
Kevin McNamara: I will turn over to Dave but just to say like a lot of things like that you can imagine, we had more success in certain geographic areas, that's now our best practice. We are trying to hit those same levels at the other three quarters of the country. So in other words there is a plenty of geography left to do that same blocking and tackling and it’s a reasonable expectations that we will play in time and effort in geography to see continued benefit from that mix shift. But Dave, anything other add into that.
David Williams: Just to roll, I mean there is been a member of call it beta sites in various Roto-Rooter locations in terms of what can we do to increase sales activity and we have rolled out capital equipment in variety of forms to these markets and we found out what worked and what did not. In 2009, we plan to roll out a lot more say for example fiber optic camera equipment, two different ways with key technicians or all technicians to Chemed every line to identify opportunities for excavation. So the fact is we are only going from a small portion of our branches to nationwide and all our company owned territories. So we expect the excavation for example to continue as Kevin mentioned. We are also looking at a number of other things. We are in a position we can afford $300 million or $300,000 dollars for a Vactor, I think of it as a giant vacuum cleaner for sludge and debris. We can afford that capital equipment where some municipality can’t. So we can pick up larger jobs in that regard. So we are utilizing our strong balance sheet, our ability to be able to buy expensive equipment to try to increase our jobs to offset some of the leakage in the other areas. So we are optimistic we could actually hold our own in this market as we some of our competitors actually downsizing and closing up shop. So, with those reasons we feel pretty good about our positioning for Roto-Rooter.
Peter Chickering – Deutsche Bank:  So a quick follow-up on that one and then I will jump off. I guess on the average site in '08 and had the fiber-optic cameras, so what percent of your sites had that in '08? It's kind of where you think that as, what percentage of sites is that an appropriate level service for in '09 to as in '10?
David Williams: I can't give you an easy answer because I don’t have it. For example areas with our market that have a lot of old trip and high growth are much more productive for utilizing camera for collapsed lines, not as exciting say in Florida where most of the lines are only putting under couple of feet of sand and you don’t have significant old growth trees that are entering the line. So each market is different but we think there is actually more opportunity in 2009 and 2008 relative to excavation.
Peter Chickering – Deutsche Bank:  Great. Thanks a lot.
Operator: Your next question will come from a line of Mario Gabelli from Gabelli & Company.
Mario Gabelli – Gabelli & Company: Hi. Can you hear me?
Kevin McNamara:  Yes.
Mario Gabelli – Gabelli & Company:  Just a quick question. If you are paying X to roll up a franchise two or three years ago and you are expecting return of Y. I assume the returns even though cyclical dynamics are obvious. What you are paying relative to that X today? Are you paying 30% less, 40% less?
Kevin McNamara:  Well, let's put it this way, for the last three years we have not been very active in.
Mario Gabelli – Gabelli & Company: I know, so just a hypothetical question.
Kevin McNamara: Here it is, we are very disciplined in our pricing. And we have been buying them between four and five times EBITDA on an adjusted basis making very adjustments that realize within six months or so. So very good pricing now the question is what that sounds like great pricing why don't you buy 10 more in the first quarter. The issue is that most of these franchises have been in the family for two generations. And the considerations that the sellers often make are non-economic in nature. When they are ready to sell, they are ready to sell, and we are the only potential buyers. Before that time, before they are ready to sell, they say things like as well as pay me three times what it's worth I will sell it to you.
Mario Gabelli – Gabelli & Company: I have been in the stock for two generations hearing the same arguments. Any event, just like, you are not going to comment on this question that some of those are proposing but so that I get up a speed on this, is the question to split the companies an actual proposal in front of the shareholders? Or will it be?
Kevin McNamara: No. I mean not this proxy season not, it's just a letter, we have received.
Mario Gabelli – Gabelli & Company: I got you. Okay, so basically, but it is not something that the shareholders are going to vote on?
Kevin McNamara: That’s correct.
Mario Gabelli – Gabelli & Company: So, that will just ask for that for next proxy season?
Kevin McNamara: Perhaps. Maybe their issues would be resolved by them.
Mario Gabelli – Gabelli & Company: Good. I am glad to hear that. Thank you very much.
Kevin McNamara: Okay. Well, I guess there are no further questions. That would conclude our conference call for the fourth quarter and look forward to talking you all in about three months.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a wonderful day.